Operator: Thank you for standing by. This is the conference operator. Welcome to the Eldorado Gold Fourth Quarter and Year End 2024 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. I would now like to turn the conference over to Lynette Gould, Vice President, Investor Relations, Communications and External Affairs. Please go ahead, Ms. Gould.
Lynette Gould: Thank you, operator, and good morning, everyone. It's my pleasure to welcome you to our fourth quarter and year end 2024 results conference call. Before we begin, I would like to remind you that we will be making forward-looking statements and referring to non-IFRS measures during the call. Please refer to the cautionary statements included in the presentation and the disclosure of non-IFRS measures and risk factors in our management's discussion and analysis. Joining me on the call today, we have George Burns, President and Chief Executive Officer, Paul Ferneyhough, Executive Vice President and Chief Financial Officer, Louw Smith, Executive Vice President Development, Greece, and Simon Hille, Executive Vice President, Operational, Operations, and Technical Services. Our release yesterday details our fourth quarter and year end 2024 financial and operating results. This should be read in conjunction with our year end 2024 financial statements and management's discussion and analysis. Both of which are available on our website. They have also both been filed on CEDAR plus and EDGAR. All dollar figures discussed today are US dollars unless otherwise stated. We will be speaking to the slides that accompany this webcast and you can download a copy of these slides from our website. After the prepared remarks, we will open the call for Q&A. At this time, we will invite analysts to queue for questions. I will now turn the call over to George.
George Burns: Thanks, Lynette, and good morning, everyone. Here's the outline for today's call. I'll provide an overview of Q4 and 2024 results and highlights. I will then pass the call over to Paul to go through our financials, and then Louw and Simon to review our operational performance. We will open the call to questions from our analysts. Turning to slide four, 2024 was a strong operational and financial year at Eldorado Gold Corporation, marked by many accomplishments. As planned, the fourth quarter was the strongest quarter of the year, with safe production of 155,668 ounces. We finished the full year with gold production of 520,293 ounces, in line with our Titan guidance range and a 7% increase over our 2023 production. Production benefited from higher mining rates and ore throughput at the Lamaque Complex, operational upgrades at Kisladag, and increased productivity at Olympias. On the cost side, our cash cost and all-in sustaining cost met our Titan guidance range. They were higher compared to 2023 primarily as a result of higher royalties driven by higher gold prices, labor cost, and sustaining capital. Paul will touch on our cost in more detail later in the call. During 2024, each of our assets continued to execute. In Quebec, at the Lamaque Complex, we achieved record production of 196,538 ounces showcasing the efficiency and capability of our operations. Furthermore, the declaration of an inaugural mineral reserve and subsequent technical report at Ormaque marks a significant milestone in our strategic growth and development efforts in the Abitibi. This reinvestment in high-return growth continues to create long-term value. Our Turkish operations performed well during the year, Efemcukuru continues to deliver at a steady rate and we are pleased to announce a two-year mine life extension with a 23% increase in mineral reserves compared to the previous year. At Kışladağ, during the year, we experienced slower than anticipated leach kinetics, and delivered an exceptional fourth quarter driving a stronger finish to the year, reflecting our commitment to excellent operations. In Greece, Skouries was a significant focus during 2024 and we continued to advance construction. Once into production next year, this mine will be transformational for the company. Our focus at Skouries remains on delivering on key milestones and value for our stakeholders. At Olympias, we successfully concluded the labor negotiations which coupled with productivity improvements supports the 650,000 ton per annum plant expansion, an increase from 500,000 tons per annum, positioning the mine for long-term profitability over its current life of fifteen years. Turning to slide five, in the fourth quarter, our lost time injury frequency rate was 1.02, an increase from the LTIFR of 0.42 in the fourth quarter of 2023. In 2024, the LTIFR was 0.99, an increase from 0.65 in 2023. We take pride in our safety performance and our employees' dedication to safe operations. But we recognize there is still more to achieve. In 2025, our conviction to health and safety improvements remains steadfast with a strong emphasis on preventing high potential incidents, and empowering our employees to cultivate a positive health and safety culture. We had a number of notable achievements throughout the year, including in the fourth quarter, Hellas Gold was honored with a silver award at the 2024 European Mine Safety Awards, second place amongst fifteen nominations in Europe. The award recognizes our innovative virtual and augmented reality training program. We also published our annual conflict-free gold report, reaffirming our gold products do not cause contribution to or benefit from conflict. In addition, we published an update to our climate and greenhouse gas emissions annual report including progress against our climate target. Both reports are available on our website. Before I turn the call over to Paul to discuss the financial highlights, I just wanted to touch on our news release announcing the filing of an amended technical report for the Lamaque Complex. This was the result of a continuous disclosure review by the British Columbia Securities Commission. In the amended technical report, the preliminary economic assessment previously contained in section four has been removed in addition to other minor changes. The BCSC took the view that the economic assessment in our technical report did not meet the definition of PEA in NI 43-101 for two reasons. First, the commission took the view that the study was not enough of a rescope of the project as required by the rules. Second, in the commission's view, it was not consistent with the definition of PEA to apply the same inputs and parameters used in the reserve case to the inferred resources, even though those inputs and parameters are conservative and have a high level of confidence. The amended technical report does not alter any other aspect of the January 2025 report including the mineral resource estimates, and the mineral reserve estimates. The financial assumptions, the economic analysis in the prefeasibility study or the reserve case, specifically the technical information supporting the inaugural mineral reserve at Ormaque remains part of the amended technical report. Our confidence in the development of a second mine at the Lamaque Complex was bolstered by the successful completion of the bulk sample in December of 2024. With our seven-year history of drilling mineral resources, and successfully converting them to mineral reserves, we are confident about the future of the Lamaque Complex. I'll stop there and turn the call over to Paul to review our financial results.
Paul Ferneyhough: Thank you, George. Good morning, everyone. Slide six provides a summary of our fourth quarter and full year results for 2024. Efficient operations and continued high gold prices have been the foundation of both our quarterly and full year financial results. Delivering in line with our tightened guidance issued during our Q3 results. Eldorado Gold Corporation reported net earnings attributable to shareholders from continuing operations of $108 million or $0.53 per share in the fourth quarter. For the full year, net earnings attributable to shareholders from continuing operations were $301 million equivalent to $1.48 per share. Net earnings increased for the full year 2024 and in the fourth quarter of the year compared to prior year periods as a result of higher gold prices, and sales volumes, partially offset by higher production costs, including increased royalties and associated income tax expenses. After adjusting for one-time non-recurring items, adjusted net earnings were $128 million or $0.62 per share for the quarter. Adjusted net earnings in the quarter accounted for two principal items, being, firstly, a $26.5 million loss on foreign exchange due to the translation of deferred tax balances primarily in Greece, secondly, a $10.2 million unrealized gain on derivative instruments. For the full year, adjusted net earnings were $321 million or $1.57 per share. Adjustments during the year included the following: a $50 million unrealized gain net of capital gains tax, on the G Mining Ventures deferred consideration and a $52 million unrealized loss on derivative instruments. Our free cash flow in the quarter was $75 million or $176 million excluding capital investment in the Skouries project. For the full year, free cash flow was $7 million or $342 million excluding the expenditure on the Skouries project. This was a significant improvement over 2023 which delivered $113 million again, excluding Skouries capex, thereby demonstrating the strong business foundation provided by our current operating assets during the continued high gold price environment. For the full year 2024, cash flow generated by operating activities before changes in working capital was $636 million compared to $411 million in the prior year. The increase was principally driven by revenue, which increased by $314 million with average realized gold prices having risen from $1,944 per ounce to $2,405 per ounce, and higher volumes produced and sold. This was partially offset by higher production costs that increased by $85 million, $28 million of which related to higher royalties. As a result of sustained high gold prices, royalty expenses have impacted our total cash costs along with increased labor expenditure. Fourth quarter total cash costs were $944 per ounce sold, and for the full year were $940 per ounce sold. Increased total cash costs drove higher all-in sustaining costs for the quarter and the full year. In the fourth quarter, AISC was $1,226 per ounce sold, and for the full year, $1,285 per ounce sold. Year-over-year comparison of AISC was also impacted by higher sustaining capital expenditures. In 2024, fourth quarter capital expenditures at our operating mines were $174 million including investment in growth projects at Kisladag, where we focused on planned waste stripping, equipment to support the mine life, continued construction of the second phase of the North Heap Leach Pad and related infrastructure, and preparation work for a building relocation due to an upcoming pit expansion. At Skouries, major earthworks continue to advance along with infrastructure construction, and the project invested approximately $98 million in the quarter. Furthermore, the project incurred $7 million of accelerated operational capital. Overall, 2024 cash capital expenditures were $594 million. Current tax expense of $41 million for the fourth quarter increased from $22 million compared to the same period in 2023. Current tax expense totaled $114 million for the full year, an increase from the 2023 expense of $86 million. The increase in the fourth quarter and 2024 as a whole was primarily related to higher revenues driving increased income taxes in Turkey and Quebec. Deferred income tax expense of $28 million in the fourth quarter and $21 million for the full year compared to recoveries of $68 million in the fourth quarter of 2023 and $28 million for 2023 as a whole. Turning to slide seven. Our growing balance sheet continues to be the foundation of our business and we ended the year with total liquidity of $1.1 billion including $857 million of cash and cash equivalents and $239 million of available capacity on our senior secured credit facility. As expected, we continue to build cash through the fourth quarter as a result of positive cash flows from our producing mines, as well as benefiting from drawdowns from the project finance facility for the Skouries development. We further augmented our cash balance in January 2025 with the full divestment of our G Mining Ventures ownership, bolstering our balance sheet with a further $155 million. We are committed to maintaining a strong financial position while we advance the construction of Skouries, thereby ensuring we have flexibility to respond to new business opportunities whilst also investing in our profitable and cash flow generating operating rights. With that, I'll now turn the call over to Louw to go through the Greek asset highlights.
Louw Smith: Thanks, Paul, and good morning. Starting on slide eight at our Skouries copper-gold project. At the end of Q4, overall project progress was 60% of Phase two of construction. As discussed on February 6 on our conference call, we have revised project capital cost with an increase of $143 million to a total of $1.06 billion. In addition, $154 million in accelerated operational capital cost expect first gold production in the first quarter of 2026 and commercial production in mid-2026. Despite the slower than expected ramp-up due to the tight labor market, we have made significant progress. This week, we are now at approximately 1,180 workers on-site and actively onboarding additional talent. At year-end 2024, detailed engineering and procurement was substantially completed. On the underground, we have received approximately 90% of the equipment and operator licenses. Development mining has been ramping up with access to the test stopes advanced ahead of plan at the upper level. The two test stopes are expected to be completed in 2025. On this slide, you can see on the right-hand side the advancement of the decline feeder tunnel from the coarse ore stockpile and the assembly of the conveyors that will transform the oversized ore to the pebble crusher. Moving on to slide nine. During the fourth quarter, the construction project capital investment at Skouries was $98 million and the full year spent was $325 million. The photos on this slide and the next few slides show the advancement of the work underway. As you can see on the last photo on the left of the slide, the three thickeners continued to advance. Concrete works for the first two thickeners have reached approximately 85% and 65%, respectively. And as you can see on the left of this photo, the third section of construction has commenced. Infrastructure on the west side of the main process building that was shown including construction works, progressing on the secondary substation and control volume. On the two far right photos, infrastructure on the east side of the main process building is showing. The structural steel installation is complete at the water pump house and nearing completion for the lime plant building and flotation process building. Including the lime plant progressing. Turning to slide ten. At the Philippi facility, we have included a link to a time-lapse video showcasing the progress of the concrete foundation. Which is nearly complete, and we have achieved a milestone with the commencement of the structural steel construction and we are regularly advancing the building. On slide eleven, we have completed the foundation construction for the primary crusher including excavations and the retaining walls, which has enabled the commencement of the crusher building. In this photo, you can see the fixed location construction crane that will assist with the build. Moving to Olympias on slide twelve, fourth quarter gold production was 15,923 ounces, and total cash costs were $1,463 per ounce sold. Production was lower than the fourth quarter of 2023 as a result of slightly lower throughput and lower gold grades in the quarter. The throughput was as a result of planned equipment downtime and unplanned maintenance related to the gold concentrate filter precipitates which negatively impacted ore throughput. The photo processor can resume normal operations in late January. Total cash costs were impacted by increased labor and higher royalty expenses as a result of higher realized gold prices as well as higher gold ounces sold compared to the fourth quarter of 2023. I'll stop there and hand it over to Simon to discuss the Turkish and Canadian operations.
Simon Hille: Thanks, Louw. Starting in Turkey on slide thirteen. Kışladağ delivered the strongest quarter of the year with production totaling 56,483 ounces. And total cash costs of $978 per ounce sold. Total cash costs were primarily impacted by the higher gold fraction. And higher ounces sold along with higher labor costs in addition to local cost inflation. Which was not offset by depreciation of the lira against the US dollar. Production in the fourth quarter benefited from the operation of the new North ADR facility enabling optimization of carbon loading, recovery, and regeneration. The North ADR facility has a higher capacity for carbon management compared to the South ADR facility. The commencement of the North ADR operations in stacking, leaching, and ongoing inventory drawdown activities. During the fourth quarter, we advanced the engineering study that is focused on geometallurgical understanding of future phases and optimization. Of the crushing and lift circuits. At Efemcukuru on slide fourteen, fourth quarter gold production was 19,451 ounces at total cash costs of $76 per ounce sold. Gold production, throughput, and average gold grade at Efemcukuru were in line with the plan for the quarter. This year marks the tenth consecutive year of Efemcukuru achieving annual production guidance, a true testament to the team's dedication to continuous improvement. And now moving to the Lamaque Complex on slide fifteen. Lamaque delivered production of 63,742 ounces at total cash costs of $615 per ounce sold. Fourth quarter production benefited from the additional ore from the Ormaque bulk sample. Coupled with higher throughput rates and higher grade, total cash costs were slightly higher in the fourth quarter compared to the comparable period in 2024. Impacted by higher production costs, but almost entirely offset by the higher ounces sold. This past week, we achieved a site production milestone with the one millionth ounce poured at Lamaque. We would like to congratulate the Lamaque team for your attentive dedication and hard work this year. This is a tremendous achievement. Additionally, we have recently updated a technical report that extends the mine life. We expect this mine to continue to deliver significant value for our stakeholders for years to come. I'll stop there and hand back to George for his closing remarks.
George Burns: Thanks, Simon. In summary, 2024 was a strong year operationally and financially, and I would like to acknowledge the dedication and hard work of our teams across the sites. We delivered 7% higher production hitting an annual production record at the Lamaque, implemented optimization initiatives in Kisladag, drew down the gold inventory and delivered continued Olympias productivity improvements that support our 2025 plant expansion project. We are strongly disciplined for 2025 and beyond, building on years of optimization efforts to strengthen our asset portfolio. With a solid balance sheet, we have the necessary funding to complete the construction of Skouries and continue to drive ongoing improvement projects across our assets to set up the company for the long term. Our continued focus on operational performance, cost control, and capital discipline in this record high gold price environment will enable us to create value for all stakeholders. Thank you for your time. I will now turn it over to the operator for questions from our analysts.
Operator: Thank you. We'll now begin the question and answer session. To join the question queue, you may press star, then one on your telephone keypad. You will hear a tone acknowledging your request. If you are using a speakerphone, please pick up your handset before pressing any keys. We'll pause for a moment as any callers join the queue. Our first question is from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Great. Good morning. Thank you so much for taking my question. Maybe just a follow-up on Skouries. I just like to understand when we had the call in early February, we talked about the labor, the tightness in the labor market and needing another 150 specialized labor for Skouries. So I'm just wondering an update on the progress there and sort of, you know, of the 150, can you break it down into buckets of what we need for electrical, mechanical, etcetera, etcetera? That would be useful. And then number two, how are we looking at in terms of hiring, let's say, inside the EU and then outside if we have to. So just maybe a little bit of an update there if there is since February. Oh my god. February is earlier this month. Okay. Since earlier this month.
George Burns: Yeah. Tanya, I'd say that we're making good progress to hit our target total construction workforce of 1,300 people on the ground, and that roughly is what we need to average through this year and into the new year to deliver our updated guidance for commercial production by the middle of next year. Specifically, now the focus has been on concrete workers. That's kind of been our bottleneck late last year and into the new year. And so we're at 1,180 average over the last week and tracking to get to that 1,300 by quarter end. And then in terms of where we're trying to recruit, I mean, our focus continues to be local where we can. Really tight construction market in Greece has forced us to look outside. And we're having success both within the country and outside the country of finding those additional workers. Right now, we're trying to get about 80 more concrete workers to get to that Q1 target, and we have pretty good visibility that we'll be successful. In terms of the transition to into the other trades, obviously, as the concrete wraps up, in many areas of the plant, then we can move into setting structural steel and then setting mechanical equipment and then follow that up with electrical and control systems. So, you know, it's fairly complex how this is going to evolve. It'll be an ongoing focus of ours. As we complete certain work that we bring in the additional trades to complete the work. So it's all I can describe for you right now is that we're on track to get to that 1,300 level, and we're working very hard to ensure we can bring in the additional trades as required. As the project continues to progress.
Tanya Jakusconek: Okay. So you're comfortable then workers that 80 Mechanical, electrical, when do you start looking or hiring for those electrical control system? When are we looking for those and sort of the division? I guess go ahead.
George Burns: Yeah. So we have pipe fitters, mechanical, electrical control system at site now, constructing. So certain parts of the plant are ready for those sort of skills. The areas where we're doing concrete we don't have the work available for them to begin till the concrete's finished. So it's a phased approach. I'll give you an example. So the critical path in the projects from the beginning has been the dry stack filter facility. It's a pretty big facility. And in the video we uploaded today, it shows a critical path part of that facility is the building that will house the six filters that removes the water from the tailings. So the concrete is nearly complete. In the next week or so, we'll pour the last piece. The first part of the plant that looked was poured. We're already setting up the structural steel. So you can see in the video, there's two stories of structural steel that's been set in the last week or two. And that eventually will be a four-story building, and it will continue to progress across the concrete plant. So what's happened here in just two weeks is we've gone from all concrete work to now setting structural steel. As the steel gets completed, then we'll have mechanics coming in to set the major equipment that will go in at some point, the building will go up. So as I say, every part of the plant has this transition happening where we move from concrete to structural steel, then the mechanical sets, then electrical and control system. And this will evolve at different paces through every portion of the plant for the remainder of this year. So again, it's very complex. I can tell you we have electricians, control system people at site today. And as we open up these additional work fronts, this concrete gets completed over the coming couple of months and quarters. We'll be ramping up those other trades. So we're focused to support our contractors to ensure we have the right trades, at the right moments to meet our schedule. And so and maybe the last thing I'd say that that gives us a bit of comfort is our current estimate assumes a solid day shift work. And a light second shift work. And we're working aggressively to find the people required to be able to have more work done on the second shift, which derisks the schedule that we currently have. So it's all about the people. I can only tell you we're working hard on it. We have visibility. We can meet our schedule, and we'll try to beat it.
Tanya Jakusconek: Okay. So basically, George, we need to get another 80 people with the appropriate background by the end of Q1, like, by the end of March, so in the next month or so.
George Burns: That's correct.
Tanya Jakusconek: Okay. Thank you for that and thank you for a bit of the color on what you're doing now. And then maybe just on this economic, this removal of the preliminary assessment in the technical report. I'm sorry. I just jumped in a bit later. So can you just review that again? I mean, I haven't seen that before, so I'm just trying to understand what exactly happened.
George Burns: Yeah. So we filed an updated 43-101 technical report and I would tell you the key thing and it was we've got now a reserve at Ormaque, and that stands. What the commission came back with is that we had a PEA in section twenty-four and in that PEA the commission's view was we were using technical and economic parameters included in our reserve case that we had high confidence in that shouldn't be used in a PEA case, and so we pulled that whole section out, and you shouldn't be relying on that PEA as it's in an inferred resource case. So the inferred resources are still intact. The PEA and the economics that go with it can't be relied upon based on the BC Commission's review.
Tanya Jakusconek: And that's basically because you used inferred in that PEA?
George Burns: Well, PEAs have inferred. I mean, if you go back to when Eldorado acquired Integra in 2017, we acquired mineral resources and inferred resources. And we acquired like, a PEA at that stage. We were able to complete a prefeasibility study, and we had enough measured and indicated resources to convert that to a reserve by the end of 2017. What we have now we have reserves both on Ormaque and on Triangle. And so the commission's view is we can't have a PEA using technical assumptions on our reserve case built into a PEA. So if it was standalone somewhere else, we'd have been okay. But because it's tied to a mineral reserve on both of those deposits, they're telling us we can't have a PEA in this case. So we've pulled it, and I just spin you back to what we've been doing from the beginning. It's been quite a positive journey for us over the last six, seven years. We acquired Lamaque in 2017. We had 1.2 million ounces of indicated resources. 631,000 ounces of inferred resources. And we closed that transaction in July of 2017. At the end of the year, we had a mineral reserve of 893,000 ounces and we grew the inferred resources to 1.3 million ounces. So did that with drilling, and we converted to a reserve with infill drilling. So we were successful in that acquisition. And since then, we've grown the reserves on Triangle. We discovered the Ormaque deposit. We had an inaugural inferred resource of 803,000 ounces of inferred resources on Ormaque in February of 2021, and then in the fourth quarter of last year, we had enough drilling to expand that resource and convert a portion of it to a mineral reserve backed by a prefeasibility study. So we've had an evolution of success of finding additional inferred resources, infill drilling, combining it with feasibility study engineering work, and then converting it into reserve. So what we said at the end of last year, we have mineral reserves of 1.3 million ounces. We produced 1 million ounces of gold from the operations since acquisition, and we have 2.6 million ounces of inferred resource. So we have a robust amount of inferred resources on both Ormaque and Triangle. And we're actively drilling. We have eight drill rigs underground. And three drill rigs on surface. This year alone, we'll drill 43,000 meters in the Triangle to work towards converting those inferred resources to reserves. We have 48,000 meters of planned drilling on Ormaque again, with the intention of converting both inferred resources into reserves. And this is an ongoing multiple-year progress. So at any rate, we feel very confident. We'll continue to add value at both now Triangle and Ormaque. And we've got a bright future ahead of us. Unfortunately, I think for us is that we did pull the PEA, and shouldn't rely on that chapter. But as I say, those inferred resources stand, and our success story continues.
Tanya Jakusconek: It's super confusing, but okay. Thank you.
Operator: As there are no further questions at this time, this concludes the question and answer session and today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.